Operator: Welcome to todayâs Covenant Logistics Group Q2 2022 Earnings Release and Investor Conference call. Our host for todayâs call is Joey Hogan.  Iâll now turn the call over to your host. Mr. Hogan, you may begin.
Joey Hogan: Thanks, Erica. Good morning and welcome to our second quarter conference Call. As a reminder, this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties, they could actual results to differ materially from those contemplated by the forward-looking statements. We asked you to please review our disclosures in our filings with the SEC, including without limitation, the Risk Factors section, and our most recent Form 10-K and our current year Form 10-Qs. We undertake no obligation to publicly update or revise any forward-looking statements to reflect subsequent events or circumstances. A copy of our prepared comments and additional financial information is available on our website, at www.covenantlogistics.com in the Investors section. I'm joined this morning by David Parker, Paul Bunn and Tripp Grant. To start with, we are grateful to our teammates for again producing record earnings per share for any quarter in our history. The transformation of the company that we have been working on for the past five years continues to build our confidence in our direction and leadership team. Our asset-based truckload operations lead the charge in the second quarter improving its operating income 76% despite a significant headwind in operating costs, primarily insurance claims expense and less gain on sale, the combined increased cost has affected us by $.20 a share in quarter. Additionally, the small acquisition we made in the first quarter, plus the continued pursuit of investing in our undervalued company stock contributed nicely to the improved results versus year ago. Despite the murky economic outlook, we are bullish on Covenant. In summary, the key highlights of the quarter were; our freight revenue grew 15% to $267 million compared to the 2021 quarter. Adjusted earnings per share increased 70% to $1.63 per share from the year ago quarter. Our asset-based truckloadâs freight revenue grew 16% versus the second quarter of 2021 with 80 fewer trucks. Our less asset intensive or asset light managed freight and warehouse segments combined grew 14% compared to the second quarter of 2021. On the safety side, our DOT rate was 2% higher than a strong quarter last year, but development of a small number of prior period claims contributed to almost $.06 per mile increase in insurance expense. Gain on sale was only $400,000 compared to $1.9 million in the year ago quarter. Our TEL leasing company investment produced another record quarter, contributing $0.33 per diluted share, or an additional $0.17 per share versus the year ago period. Due to the strong cash flow in the quarter, our net indebtedness increased only $10 million after utilizing $28.5 million of cash on share repurchases. We finished the quarter with a leverage ratio of 0.43x, debt to equity ratio of 14.6%, and return on invested capital of 15.7%. Now Paul will provide a little more color on the items affecting the business units.
Paul Bunn: Thanks Joey. For the quarter, our Asset light businesses comprised of managed freight and warehouse were 37% of total freight revenue and 34% of consolidated adjusted operating profit. As we have discussed in the past few quarters, the managed freight revenue growth versus year ago is beginning to cool as the market softens and the surge demand recedes. However, the net revenue margin continues to be strong and we have an active pipeline for new business. By the end of the third quarter, our warehouse team will have stood up three startups for the year, primarily in the second quarter. We will focus the remainder of the year on maximizing the revenue and margin opportunities to grow income. The asset light group remains a priority for growth, focusing on talent acquisition and technology enhancements. The Expedited division was 35% of consolidated freight revenue and 55% of adjusted operating profit in the quarter. It grew its revenue 23% versus the year ago quarter due to strong revenue per truck improvements and growth of 40 trucks. The first quarter acquisition contributed to revenue growth nicely. Expedited produced a record 83 adjusted OR, a 310 basis point improvement over the second quarter of last year. Our freight network is not overbooked but remains balanced. Maintenance, insurance costs and less gain on sale were a major headwind in the quarter, but we feel driver pay is in good shape at the present time. Our expedited leadership team is doing a great job of managing through this economic transition. The Dedicated division was 28% of consolidated freight revenue and 11% of adjusted operating profit in the quarter. This division continued its steady improvements with adjusted OR improving slightly versus the first quarter and 360 basis points from the year ago quarter. Revenue per truck per week grew 17% versus the year ago quarter while cost increases in maintenance and insurance and lower gain on sale also consumed some of the margin improvements. The weed and feed process continues with another 122 trucks planned to be upgraded in third quarter through either replacement and/or revenue per truck pricing improvements. Based on what we see today, we feel good about our goal of a 200 basis point sequential OR improvement in the third quarter. The pipeline for the remainder of year remains robust, supporting our expectation that margin improvement will continue. Our minority investment in TEL continues to produce strong, positive results. TELâs revenue in the quarter grew 33% and pretax operating profit increased by 123% both versus the second quarter of 2021. TEL decreased its truck fleet by 60 trucks to 2,013 and grew its trailer fleet by 117 to 6,869. Our investment in TEL, included in other assets in our consolidated balance sheet, grew $7.1 million to $58.1 million. As a reminder, TEL focuses on a managing lease purchase programs for clients, leasing trucks and trailers to small fleets or shippers and aiding clients in the procurement and disposition of their equipment through a robust equipment buy, sell and maintenance program. TEL contributed a total of $0.33 per share to our overall results or an additional $0.17 versus the year ago quarter. Due to the business model, gains and losses on sale of equipment is a normal part of TELâs business and can cause earnings to fluctuate from quarter-to- quarter. TELâs future is very bright. As we said in our press release, we expect the second half of 2022 to exceed the adjusted earnings per share of 2021 bringing the full year 2022 to a minimum of $5 per share. We do believe there will be market headwinds from continued inflationary pressures and softening freight demand but based on company specific factors, the investments we have made in the sales team, the small acquisition, the share repurchases and returning insurance costs to more normalized levels, we are very confident in the second half and planning for 2023. Over the last five years, our customer base has been intentionally moved to less cyclical industries through our full service logistics focus. We said last quarter that 2023 will be a breakout year for Covenant, and we remain firm on that statement and confident that we will continue to produce cash to maximize opportunities for our shareholders. Thank you for your time. And we will now open up the call for any questions.
Operator: Our first question comes from Jason Seidl from Cowen.
Jason Seidl: Hey, thank you, operator. Good morning guys. And congrats on the quarter. Wanted to talk about some of the puts and takes for the second half of the year in terms of some of the tailwind you might seeing versus some of the headwinds. On the tailwind side, how should we look at gains on sale for 2H compared to 1H and then how should we look at the insurance side of things? I imagine since you had a not a great insurance quarter the things would be coming down at least on the expectations for 3Q.
Tripp Grant: Yes. Jason, this is Tripp. Hope you're doing well today. Yes, so I think you're going to see some pretty strong gains on sale of equipment in the second half of the year, particularly in on the tractor side. I think if you look back, the last four quarters has been very, very light. So you'll see some tailwinds there. On the, from an insurance perspective, I think you'll start to see that normalize a bit. We're not going to run $0.20 insurance each quarter, was exceptionally strong during the third quarter, but I think you'll start to see that soften. Just for a little perspective, on average last year, our insurance was about $0.15 per mile. I'm not saying it'll go to $0.15 per mile in the third quarter, but I think you'll see it somewhere between where it landed last year, and in the $0.20 per mile cost for Q3 or Q2.
Jason Seidl: Okay. That's very helpful, Tripp. And how about some of the headwinds? Can you talk a little bit about the contract pricing marketplace sort of how it trended through the quarter and what you're seeing in early 3Q?
Tripp Grant: Yes, well, then I'll turn a part of that over to Paul. But I think from a cost headwind perspective, we're continuing to see new equipment costs coming in pretty strong from a cost perspective. Also see an ops and maintenance costs continue to be cost headwinds that have haunted us for the majority of this year, but as we get that new equipment in and we're working on to get as much as we can as possible, you'll start to see the average age of equipment decline a bit, which should help that front and back half of the year, beginning of next year perspective. And Paul, do you want to talk about a little bit about the contract?
Paul Bunn: Sure, Jason, couple of things, yes, on the contract business, I would call it flattish. We're not having a lot of customers come back on the contract side of the business asked for rate. I think just a reminder we said it a minute ago in the script that we moved to a lot less cyclical top customers, and really didn't overstep our bounds, I think in the last 18 to 24 months. And I think, thus far, that's paying dividends on folks sticking with us through times that are no doubt softer than they were earlier in the year. So on the straight up contract pricing, I would say flattish. I mean we're not getting a lot of rate increases, but we're not getting pressure, a lot of pressure either. On the managed freight side of the business, that's, as we've said before, that's where our exposure the spot market is, and we are seeing things soften up so and I think you'll see dedicated margins improve, expedited margins hold to maybe get a little worse. And you're going to see on the managed freight sides of deterioration in margin in the second half of the year. So I would say that's a headwind.
Jason Seidl: No, that makes a lot of sense. And, Tripp, just if I can get back to your sort of share repurchase program. Obviously that helped you out here in the quarter, you were able to buy a bunch of stock back. How should we think about the second half of the year? Obviously, I'm assuming less, but sort of just how much less activity do you plan to be in the marketplace, given the positive reaction to the stock? So it's a -- that's obviously a good thing, but I'm just looking at it from a modeling perspective.
Tripp Grant: Yes, so it's, let me just, I don't know if I can answer your question directly. But here's what I will say. We put this program in place, which is a fairly large program, $75 million program in place in May. And we designed it specifically for the longer-term duration, and we build some parameters in place to help. We can't control what's purchased once a plan goes into place. But what I would say is, as long as we're trading at a, what we would consider a lower tangible book multiple and have, what I'll call moderate to low leverage from a debt perspective, we're going to continue to repurchase shares. Now, to your point where the uptick and the stock price just over the last few weeks, you'll start to see that soften because our tangible book multiple will start to go up. So I don't think, I'm not going to predict what the stock price is going to do, nor could I if I tried, but I think you'll start to see that soften a bit. But we've been purchasing at a really good clip, as we've disclosed from a historical perspective. And we even had some July numbers out there that were pretty strong. So if we slow down the purchase, that doesn't mean the plan doesn't go obsolete or we turn the plan off. We'll continue to keep it in play and be opportunistic about repurchasing shares in the future, and buying just slowdown in the second half of the year.
Operator: Our next question come from Scott Group from Wolfe Research.
Scott Group: Hey, thanks, good morning, guys. Nice quarter. I know you talked about the pricing environment, but maybe can you just share some perspective on how the demand environment played out throughout 2Q and what you're seeing so far in July?
Paul Bunn: Yes, I mean, I would say the demand environment, Scott, was good in Q2. I mean, it probably wasn't as good as Q1, and definitely not as good as Q4 last year. We were talking about July earlier, in July's generally one of our top two to three, but a lot of times it's two as far as kind of second worst months with holiday and vacations and kind of the lag before the get back-to-school. And folks start ramping up for fall season and whatnot. And so there's seasonality to it. No doubt, July is softer than any month we saw in the second quarter. But it hadn't fallen off a cliff. And so Dave and I were talking and he said, well, just we'll see how August goes. I think we'll be able to make a call when we see two or three weeks into August. August is going kind of where really is demand. So July is worse than June, but July is always worse than June.
Scott Group: All right. I know it matters less to you guys now. But any early thoughts about peak season.
Paul Bunn: Pretty muted. That's to your point, we've talked about peak has continued to be a less and less of an impact item for us. And we've got a couple customers two or three customers that we do peak for and those are commitments that we make with them every year. And we'll do it again. And so yes, there'll be a little bit of an uptick for peak, but nothing anywhere near as dramatic or materials, what you saw in years past, yes, probably a little bit like last year.
Scott Group: Okay. And then maybe my last question, so we're in a pretty softer spot environment and expedited still did a lower 80s OR which is pretty remarkable. Now that we've got this acquisition, it's small, but very profitable. How are you thinking about the right sort of range of expedited margins throughout a cycle now?
Joey Hogan : Hey, Scott. This is Joey. It's still going to have more than our other services. So if you look back through history, I think it would show if expedited was presented as it was today, which is not out there. It's kind of the old company structure. But as we've gone back internal and look back at expedited, as best as we can what it looks like today, you kind of see an 8 to 10 point swing in OR from peak to trough. So what we've been working hard to do with some other things. So we talked about last year, throughout the year of trying to solidify some longer-term relationship with some customers is to narrow that down, take that 8 to 10, 6 to 8 kind of the range of that. And I think time will tell if we've been successful there. As you look at where expedited is today where's peak and trough is an 83 the best, if you will. It's the best we've ever done. And I think probably as it stands today, with opportunities we have, I would say probably you will be working hard to get expedite in the low 80s. So I'd probably say low 80s. And I would be hard to debate 92, 83 to 92 as a range. But again, we're working hard to keep that 92 down. And I donât think we got a shot to keep expedited in total in the 80s. And but I think we need to kind of play out this cycle to see if that actually holds. But I think we're, with the acquisition we made and some of the work that the leadership team has done on the base customers legacy customers. I think things are looking really good right now.
Operator: Our next question comes from Jack Atkins from Stephens.
Jack Atkins: Okay, Great. Good morning. And congratulations, guys on these great results. So I guess, Paul, if I wanted to go back to your prepared comments for a moment, you referenced 2023 as being a breakout year for Covenant and I'm guessing that's because you think, you going to be able to show the resiliency of the business through a more challenging freight market to the degree that fully materializes. We've kind of talked about $5 or more in earnings this year. Some companies have been kind of proactive, kind of helping us think about what trough earnings power could look like. And I'm just kind of curious if you guys can maybe help us think about trough earnings power for Covenant. I think raising the floor on trough would really help expand the multiple on the stock. So just kind of curious. If you could â
Paul Bunn: Jack, I think we're confident sticking with where we were last quarter is probably similar to a lot of our peers, kind of a 25% to 30% reduction peak to trough those numbers, as we've modelled them out still hold. We still hold on those numbers. So wherever you think peak is in 25% to 30% off of that, we think that's probably about where trough will be.
Jack Atkins: Okay. And I guess maybe playing into that this cycle versus last cycle, you've got TEL which is a bigger bottom line contributor. How are you thinking about that contribution in the back half of this year and as we kind of go into â23? Are there some additional investments that are coming there they can they grow that --
Paul Bunn: They continue to grow. And if you think about it, Jack, trucks have kind of been limited, trailers have been limited in the market and TEL over the last four or five years, it's just grown dramatically. And all of these equipment providers, what folks are getting allocated, it kind of use that word allocated that you can buy is a percentage of your last three, four or five years equipment. So they don't -- they only need a portion of the trucks and trailers that they get to service replacement. And so the other is basically just built in growth, and there's a high demand for what they're doing. They're executing incredibly well, whether it's lease and trucks, lease and trailers, I mean, it's not just small trucking companies, it is shippers, it's large trucking companies, it's private fleets, it's maintenance programs they're doing. And so I think we think TEL is going to be on a similar cliff to what they've been on. We don't see. I mean, we don't see TEL going backwards a lot, if any.
Tripp Grant: And just to add to that last quarter, we talked about them having some exceptionally strong gain on sales of equipment, which is all true. I mean, I would say for the last two quarters they have, and that's part of their business model, as Paul mentioned, is a sale of equipment, and they always have gain on sale of equipment. It's just probably been a little bit higher, just recently with the equipment market. But what I would say to that, and people are worried about TEL falling off of a cliff. And that's not truth, because to Paul's point, they're growing other pieces of their other business, which may help offset some of the reductions or as equipment market softens a bit, you'll start to see pickup from other areas of their business.
Jack Atkins: Okay. That's great. And I guess, maybe last question the ATT acquisition is clearly paying some nice dividends. I guess as you sort of look out at the market, and maybe what could be coming to market over the next maybe three, four or five quarters. Are there other businesses like ATT that you think you could acquire that would make sense? I'm just trying to think through capital allocation, buyback versus maybe deploying that into strategic M&A.
Paul Bunn: Yes, I mean, here's what I think, if it's a niche high margin business, I think it's something that has a strategic fit was one of the other business units, then absolutely, that's something that we would look at. Are we just going to chase something just for the sake of growing revenue? No, it's going to need to be something that's solidly accretive, has a strategic play with something else that we're doing, is niche and has minimal integration risk. And so that combined with probably where our stocks trading at that point, we'll put that in the blender and see what comes out the other side.
Operator: Our next question comes from Bert Subin from Stifel.
Bert Subin: Hey. Good morning, guys. Hey, itâs probably for Joey but maybe Paul as well. So Walmart took down its guidance last night called out inflationary pressures that they said are eating into general merchandise sales. Are there any freight categories that you guys would call out as being weaker in recent months and perhaps some that have been stronger than you initially expected? And then just in addition to that, can you give some color on what you're hearing from your customers today around the back-to-school and holiday season?
David Parker: Hi, this is David. Bert, I would still â
Bert Subin: Hey, Dave. I didnât even say, hello. Thank you.
David Parker: Oh, that's okay. So far through June. I really can't, we really can't identify to say this segment as, and our business with Walmart continues to go very well. I mean as you know, we really concentrate on the Walmart side owned their produce that comes off the West Coast. And so their store side has been â is done quite well. And so our business with Walmart has been extremely well. Has there been hiccups? Yes, because of employment, can't get everybody to the warehouses. But the freight itself has been just as strong as it was six months ago, or eight months ago. We expect that to continue. We were just over there a couple of months, a couple of weeks ago. So we don't see anything there. Our retail business, keep in mind that is extremely expedited. And here's a great example, we got, we've got one decent size, customer of ours retail, that for the last year or so has been expedited, expedited, expedited and inventories have risen, as we all know. So they made the decision that, hey, we're okay with slow, we don't have to; this does not have to be expedited. It doesn't have to be there in 48 hours, et cetera. And so we were able to transition that into our managed freight side, where it can go with a solo operation instead of expedited. So we kept the business, we kept the margins, we just took it from one bucket and put it into the other bucket. And so I looked last week, as Paul was saying that July is July, as we all know. I've only been filled out of 50 years of them. So July is July, and it has slowed. I expect that August, we're going to get a school rebound. And start then get into the Christmas season shortly thereafter. So I do think there'll be an uptick. But so far, we have not seen a downtick or let's say this. Business that we've lost, then there's been ups and downs. Business that we've lost, we've replaced every bit of it with new business. And so that's kind of the tale of the tape so far. And I think that as we get through July, and we're not dissatisfied with July at all. But as we get through July, I think that August will start telling us is this recession that we're in? What's it going to do to trucking? One thing we do know, there's hundreds of thousands of trucks that are coming out of this market. There's a lot of trucks exiting the market, the one or two trucks that lived on the spot market for the last two years, are leaving and shutting their doors. And so us that are layoff that's going to be a nice little tailwind from a capacity standpoint. So it's going to be interest. I think the next three or four weeks, though, in August will give all of us an idea of what to expect.
Bert Subin: Thanks for that, David. Maybe just sort of dovetailing on that on the expedited side, obviously, that's been brought up a couple of times, and that's been very strong both on the revenue and the profit side. You guys do a fair amount of LTL line haul business there. And it sounds like that's held in there quite well. Do you have the expectation that that can persist just if we start to see durables demand, industrial demand start to wane a little bit? Are you -- do you have any colors sort of what you're hearing from your LTL clients?
David Parker: Yes. I think on the industrial side of the business, there's going to be pressure that is there. And we have, and already, in the last 60 days, we've seen some of our LTL customers that have decreased. We have just been fortunate enough to spread because at the end of the day, where we -- when we in 2020, when we took out 500 solo trucks out of this expedited and truly went to a model that is we are expedited, do you really need a team? And so that forced us and the customers to answer a question two and a half years ago, two years ago, that said, do I really need these teams or not? Because we all know there's not a whole lot of them in the marketplace. And so we've got a lot of agreements with a lot of our customers, not all of them, but we got a lot of agreements with our customers that even if their business slows down there we will be the last person standing from obligation standpoint. And so I feel very comfortable that even though some has been reduced, it's not earth shattering to us so far.
Bert Subin: Great. Thanks so much, David. And then just one final question probably for Paul. If â23 ends up being a weaker year, whereas I think most people are speculating, would you expect revenue per truck per week to still be positive on the dedicated side, or do you think there could be some pressure there?
Paul Bunn: So thank you. Flat to positive. I don't think it'll go backwards next year.
Operator: At this time, we have no further questions.
Joey Hogan : Okay, Erica. We appreciate everybody's time this morning. And look forward to sharing how we did in the third quarter later. Everybody have a great day.
Operator: This concludes today's conference call. Thank you for attending.